Operator: Welcome to the Diamondback Energy and Viper Energy Partners Fourth Quarter 2015 Earnings Conference Call. [Operator Instructions]. I would now like to introduce your host for today's conference, Adam Lawlis, Investor Relations. Sir, you may begin.
Adam Lawlis: Thank you. Good morning. Welcome to Diamondback Energy and Viper Energy Partners joint fourth quarter 2015 conference call. During our call today, we will reference an updated presentation which can be found on Diamondback's website. Representing Diamondback today are Travis Stice, CEO; Mike Hollis, COO; and Tracy Dick, CFO. During this conference call, the participants may make certain forward-looking statements related to the Company's financial condition, results of operations, plans, objectives, future performance and businesses. We caution you that actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found in the Company's filings with the SEC. In addition, we will make reference to certain non-GAAP measures. The reconciliations with the appropriate GAAP measures can be found in our earnings release issued yesterday afternoon. I will now turn the call over to Travis Stice. Travis?
Travis Stice: Thank you, Adam. Welcome everyone and thank you for listening to Diamondback and Viper Energy Partners' fourth quarter 2015 conference call. To begin, I want to discuss how Diamondback views the current environment and how we are responding before I turn the comments over to Mike and Tracy to highlight operational and financial details. 2016 began with oil prices testing recent lows. Diamondback Energy is well-positioned in this environment and continues to demonstrate that we are a low-cost operator with superior execution abilities. After our equity raise last month, Diamondback had over $250 million in cash at the end of January 2016 and an undrawn revolver. Our all-in cash costs including G&A, LOE, transportation and production taxes are currently below $10 of BOE. To further illustrate our cost structure, Diamondback has 140 employees producing almost 38,000 BOEs a day. We've always run a lean organization, and times like now remind us how that's a prudent practice to follow. We continue to emphasize our strategy of capital discipline, especially in light of current low oil prices and their impact on stockholder returns. We've consistently communicated that we accelerate development when returns to our stockholders are increasing and decelerate when returns weaken. We have widened our 2016 production and capital guidance ranges to allow for capital flexibility in our operations as rig count and completions cadence may fluctuate through the year. If you look at slide 5, we've outlined our actions on how we responded to a low price environment. We've reduced D&C costs and deferred drilling and completion activity while maintaining our leasehold position. This allows Diamondback to preserve capital flexibility, maintain our conservative balance sheet and keep leverage low. Also on slide 5, in a lower for longer $35 per barrel WTI price scenario, Diamondback believes it can maintain conservative net debt to EBITDA under 2 times through the end of the decade without accessing the capital market or drawing on our revolver. On slide 6, we provided a more detailed scenario analysis highlighting the number of locations economic at different WTI prices and added a lower price tranche of $25 to $35 WTI. At the midpoint of this range, Diamondback has almost 500 economic locations, and we have over 1500 economic locations at $40 WTI. We've been able to increase the number of gross locations at each oil price since the last presentation because leading-edge D&C costs are currently at $5.25 million per 7500-foot lateral, down from $6 million used previously. Turning briefly to M&A strategies, Diamondback Energy believes the current environment will present opportunities to grow our Company. We believe our execution ability and low cost structure make us a natural consolidator within the basin. However, we will only do deals that are accretive to our stockholders. Viper Energy Partners continues to look for accretive mineral opportunities inside and outside the Midland Basin. We also recognize the opportunity for Viper to provide liquidity to distressed sellers through the purchase of their royalty interest. As I stated previously, Diamondback has an undrawn revolver and over $250 million in cash. Diamondback will continue to run its business in a prudently conservative manner until we believe that oil prices have recovered, sufficient to allow us to return to a growth mode. We had hoped that oil price bottom was going to be at the end of 2015, but now we are hopeful that it will happen later this year. However, if our expectations are wrong, Diamondback can weather the storm. In a prolonged period of low oil prices, Diamondback expects to be the last man standing. I will now turn the comments over to Mike.
Mike Hollis: Thank you, Travis. As mentioned in last night's press release, we have now completed our first three-well pad in Glasscock County targeting the Lower Spraberry, Wolfcamp A and Wolfcamp B. These wells had an average lateral length of approximately 7400 feet and produced a seven-day average of over 3600 BOE per day on a combined basis. At the end of 2015, we also drilled a two-well pad in Glasscock County targeting the Wolfcamp A and Wolfcamp B that's currently flowing back. Slide 8 shows Diamondback's Glasscock County activity as well as notable offset results. We've also delineated our IP data on this slide. In Howard County, we have drilled a three-well pad that targets the Lower Spraberry, Wolfcamp A and Wolfcamp B, and we are currently drilling a second three-well pad. We intend to complete these wells in mid-2016. One of these wells was a 9600-foot lateral that was drilled in less than12 days from spud to total depth, which we believe to be fastest well to TD in the area. A map of Diamondback's Howard County acreage and notable offset results is located on slide 9. Slide 10 shows that in all of our core operating areas, Diamondback continues to drill wells faster than offsetting peers. We drilled a three-well pad in Spanish Trail in 37 days from spud of the first well to rig release of the third well. In Martin County, we drilled a well with a 7500-foot lateral in less than 10 days from spud to TD. In addition to our continued efforts to drill wells faster, we've also managed to lower other drilling expenses. To that point, we were able to move a rig roughly 90 miles from Spanish Trail to Howard County in less than three days from rig release to spud of the next well. Slide 11 shows our current realized well cost reductions, which have come down roughly 30% to 35% since the peak in 2014. Leading-edge drill complete and equip costs are trending between $5 million and $5.5 million for a 7500-foot well and between $6.5 million and $7 million for a 10,000-foot lateral well. Slide 12 shows reductions to our current realized lease operating expenses since the peak of 2014. We are extremely proud of our production organization for the lowering LOE per BOE from nearly $8 a barrel in 2014 to less than $7 a barrel in 2015. By gathering the data to fix the wells right the first time, we have reduced our rod and pump failure rates translating to lower LOE. We were able to integrate on 139 existing vertical high operating cost wells primarily in Howard County in the second half of 2015 while lowering the LOE. Slide 13 illustrates Diamondback's crude reserves, which increased 39% as of December 31, 2015 to approximately $157 million BOE. Additions replaced 465% of 2015 production with a drill bit F&D cost of $5.51 per BOE. Drillbit F&B declined by 50% from $11 per BOE in 2014 as we continue to decrease development cost and target the Lower Spraberry and new horizontal formations such as the Wolfcamp A and Middle Spraberry. With these comments now complete, I will turn the call over to Tracy.
Teresa Dick: Thank you, Mike. Diamondback's adjusted net income for the fourth quarter of 2015 was $39 million or $0.58 per diluted share. Diamondback's consolidated adjusted EBITDA for the fourth quarter of 2015 was $123 million, which is 11% above EBITDA in the fourth quarter of 2014 despite price realizations being significantly stronger in 2014. Our fourth quarter 2015 average realized price per BOE including the effect of hedges was $55. Diamondback continues to have peer-leading cash margins driven by our focus on execution and cost optimization. Slide 14 shows that our 2015 operating expenses are 29% lower than the peer average for the first three quarters of 2015. Also on that same slide, we show that Diamondback continues to be one of the leanest operators with G&A less than half that of the peer average for the same period. In the fourth quarter of 2015, our cash G&A costs were $1.06 per BOE while non-cash G&A costs were $1.40. During the fourth quarter of 2015, our capital spend for drilling, completing and equipping our wells was $70 million. Our infrastructure costs were $5 million, and we paid $20 million on our non-operated property. The Company spent an additional $24 million on primarily bolt-on acquisitions during the fourth quarter of 2015. At the end of January 2016, we were undrawn on our secured revolving credit facility after paying down the balance with proceeds from our recent equity rate. With over $250 million in cash and $500 million in undrawn revolver capacity, we have ample liquidity to fund our 2016 drilling program. Pro forma for proceeds from the equity offering, our net debt to annualized fourth quarter 2015 EBITDA is 0.4 times as shown on slides 15 and 16. Moving to slide 17, we provide our guidance for 2016. As announced last night, we widened our 2016 production guidance to a range of 32,000 to 38,000 BOE per day including a range of 6000 to 6500 BOE per day attributable to Viper to account for the continued volatility and uncertainty in the commodity market. We expect our capital spend to range from $250 million to $375 million for 2016. Turning to operating cost per BOE, our 2016 LOE is guided to the range of $6 to $7 and gathering and transportation to a range of $0.50 to $1. Our cash G&A projection is $1 to $2, and our non-cash G&A is expected to be in the range of $1.50 to $2.50. We have forecasted our DD&A rate from $13 to $15, and production and ad valorem taxes are expected to be 8% of revenue. I will now turn to Viper Energy Partners, which recently announced a distribution of $0.228 per unit for the fourth quarter, 14% above the third quarter cash distribution. This distribution represents an approximate 6% yield when annualized based on the February 12 closing price. Viper has no minimum quarterly distribution or complex ownership hierarchy. The majority of cash flow is return to unit holders through quarterly distribution, providing upside when oil prices rebound. On slide 18, we show how Viper's distribution remains resilient despite lower oil prices due to organic production growth. Spanish Trail remains one of the most economic areas in the Permian Basin, and we expect the operators will continue to drill there. At the end of 2015, Viper had $34.5 million drawn on its revolver. Now turning to Viper's guidance, we expect a production range of 6000 to 6500 BOE per day. On a per BOE basis, we anticipate cash G&A costs of $0.50 to $1.50 and non-cash G&A of $2 to $3 in 2016. We expected DD&A to range between $14 and $16 and gathering and transportation of $0.25 to $0.50 with production and ad valorem taxes at 8% of revenue. As a reminder, Viper does not incur LOE or capital expenditures. I will now turn the call back over to Travis for his closing remarks.
Travis Stice: Thank you, Tracy. In summary, Diamondback has taken the correct steps to respond to current low commodity prices. We're well-positioned to live in a $35 WTI world through the end of the decade and developed plans that reflect net debt to EBITDA less than 2 times without accessing capital markets or drawing on our revolver. We've laid out plans to respond to difficult commodity prices and are poised to return to growth mode when market conditions improve. Lastly we maintained our unwavering focus on execution, continuing to push our advantage in low-cost D&C operations in peer-leading expense structure and remain transparent with our business strategy. Operator, please open the line for questions.
Operator: [Operator Instructions]. The first question is from John Nelson of Goldman Sachs. Your line is open.
John Nelson: The press release made reference to opportunities for accretive growth given you guys are guiding to organic production flat at best I'm assuming that means you expect means be more active in the acquisition market. Can you comment on what you are seeing in the acquisition pipeline? Are these corporate transactions, asset deals, private equity players, public operators and to the point on accretive growth, is this really just your multiple premium that you think is a differentiator here or is Diamondbacks efficiency advantage also something you expect to add material value in acquisition?
Travis Stice: John, there's a lot of questions embedded in there. Let me talk from a high level from Diamondbacks perspective. What I talked about in January when we did our equity raise is that we were seeing an increase in the amount of smaller bolt-on transactions are what we call around here little A type acquisitions and we're continuing to see those. I think the fact that you are not seeing a lot of announced trades on larger acreage blocks probably tell you that the spread between bid and ask is still relatively high and believe the sellers probably have a price forecast that's above of what the acquirers are looking for. And the bigger sequel of combinations we continue to evaluate different opportunities there again to do so only in an accretive fashion. Diamondback has a long history from the very beginning of being and acquire and exploit company, so we’re increasing our efforts on the opposition fronts. We really just continuing what we've always done which is to look for accretive opportunities that we believe we can demonstrate that [indiscernible] Diamondbacks hands than in somebody's else through our conversion process of rocking the cash flow. How the other elements that you are describing are trying to move around in the acquisition space, probably best answer those guys, but Diamondback is committed to doing smart deals that are accretive and we believe that we are the right operator and if we find the right rock we will generate the right returns for it.
John Nelson: Just moving to expenses on the quarter, aggregate LOE dropped despite the increase in volumes. It was pretty impressive. Your '16 guidance seems to imply you give most of that back though, was there anything one time that sort of aided 4Q results or is there may be some conservativism built into 2016 LOE guidance?
Travis Stice: Yes, just on any guidance in 2016, we don't typically build in conservative guidance at all, we try to put our best estimates forward and communicate that in a transparent fashion. Now specifically to what happened in the fourth quarter, Mike mentioned some in his prepared remarks but when we acquired our properties in Northwest Howard County kind of midsummer of last year, in our accrual process for accounted for expenses we were using the prior operators run rate on expenses and because our operations organization has had the opportunity now a couple of times to assimilate large high-cost vertical wells into our inventory, they really responded in a very quick fashion to get these wells operating like Diamondback expects. As result we kind of overshot what we were thinking expenses were going to be up in the third quarter and the fourth quarter was the beneficiary of that overshooting. So I would really characterize it as giving back any of the expenses we tend to try to hold onto every penny we ever pick up but that’s specifically what happened in the fourth quarter. We believe our guidance is $67 a barrel for 2016 is right down in the middle of the fairway.
Operator: The next question is from Michael Glick of JPMorgan. Your line is open.
Michael Glick: Just on your flat $35 a barrel case could you give us some color on with the Company would look like a couple years out?
Travis Stice: Well obviously Mike, we've got the company model that there not a big fan of giving multi-year forecast out there. I can tell you from a general perspective if Diamondback was to run one to two rigs, our production is flat to slightly declining, if we were to run two plus rigs it's going to be flat to a slight growth as you look out into the future. Obviously with a lot of capital flexibility this year predicting exactly what 2017 is going to look like is a little early to do on the 17th day of February. So we're going to try to model the company and give you updates of each quarterly update but I think in a general sense that one to two rigs flat to decline and two rigs more flat to up sort of forecast what the future is going to look like. To make that statement though we were at the lower end of our rig cage, kind of that 1, 2 rig cadence to get to that $35 comment that I made.
Michael Glick: At the low-end of capital how should we think about the cadence of completions moving through the year and how many docks would you expect to have a year end?
Travis Stice: At the low-end of the CapEx guide we probably end up with 30 to 40 DUCs by the end of this year. And if we were at the higher end of that guide we probably end up with 10 or less DUCs.
Operator: The next question is from Neal Dingmann of SunTrust. Your line is open.
Neal Dingmann: Say, Travis just add onto that last question. When you look at the plan for this but just the DUCs but how do you see as far as the areas of drilling more when you look at the Spanish Trail obviously you had success now on these new Glasscock, you mentioned obviously the very quick well you were able to drill up in Howard. How should we think about the entire plan under that kind of that lower for longer scenario or if you are were going to upsize things a bit?
Travis Stice: Sure. I will put the endpoint on it Neal. If we were to run two to four rigs which would be towards the upper end of the guidance and of course as I stated in my commentary we would have to have some pretty good confidence in oil prices before we went to the upper end of the rig count but if we were running three to four rigs we keep the two rigs in Spanish Trail and we would have one rig in Glasscock, one rig in Howard and then if we moved the rig around we probably catch a well or two in Northeast Andrews County where we've had some really nice results. If you’ve to lower end, I mean if we get all the way down to one rig like we talked about potentially in midsummer if commodity prices continue to soften from this point, that rig would be mostly the drilling obligations which would be heavily weighted towards Howard County where we've got three wells drilled and drilling our second three well pad now and probably bouncing the rig occasionally in and out of Spanish Trail as well. So that's the way it looks Neal with the one rig all the way up to four rigs.
Neal Dingmann: And then just lastly, you all have unique benefit obviously went through and Tracy went through with Viper to have that and obviously to me I think the shares certainly with oil prices haven't rebound maybe where they once could here. Do you anticipate you mentioned with accretive acquisition I'm just wondering is there a way to use Viper at all or will you just sort of continue -- if this environment continues you will just continue how you've been with the higher interest with it or is there anything else you can do with those?
Travis Stice: Well of course without getting into any deal specifics we recognize that Diamondback is uniquely advantaged with those Viper units and that does represent something that we can do in a trade that nobody else can do ago whether it is a co-bid strategy, Viper bidding alongside Diamondback or even Diamondback using the Viper as a form of liquidity in a transaction. We’re seeing increased interest in Viper units at these low commodity prices as people involve themselves that commodity prices by be bottoming out and beginning to recover. I guess I can't give you any deal specifics Neal but I do think that there's a likelihood that some kind of transaction that Diamondback is involved in the future would include Viper ownership.
Operator: The next question is from Mike Kelly of Seaport Global. Your line is open.
Mike Kelly: Travis, you detailed out what we could expect on the deferred completions front really for 2016 and a couple of different scenarios, but I'm just curious what do you are doing right now, what the strategy is? Are you really completing wells? What are you doing with oil around $30? Thanks.
Travis Stice: With oil below $30 a barrel as I laid out in one of those slides, I think slides 5 or 6, you know we’re actually deferring some completions right now. So we will likely continue to defer completions through the end-of-the-year and in order to get to that 30 to 40 total DUCs we're going to be probably deferring 4 to 5 DUCs a quarter to get to that number. So that's kind of how we’re looking at a right now, Mike. The one thing about DUCs is that once we’re convinced that commodity price has recovered we believe that we can go out really quickly and prosecute an execution plan that gets these DUCs completed inside the current year. Again we're going to be very judicious in that decision process though.
Operator: The next question is from Gordon Douthat of Wells Fargo. Your line is open.
Gordon Douthat: Just kind of more lessons on the table on slide 6. Just trying to get a sense on how you toggle activity levels first with the completion of the ducts and then beyond that the potential to add additional rigs as we move through these different pricing scenarios, should we assume that the rig count or increases as you move through up through these levels or how should we interpret that slide?
Travis Stice: We tried to laid out as clearly as we could Gordon on rig counts, as oil price moves up with some confidence that it is going to remain there, we will pick those additional rigs up. I think the most likely scenario is the first lever we pull on under recovered oil prices is working on those DUCs and then the second lever would be stand up an additional rig. So in a general sense we've always talked about sort of whatever the first number on oil prices is about the number of rigs are going to run. I think that's still holds in slide 6.
Gordon Douthat: And then regarding comment on opportunities for accretive growth. When you look at acquisition opportunities does this necessarily involve for it to be accretive the use of Viper in one form or another joint bid or use of Viper as a source of liquidity or are you looking at standalone Diamondback bids or how do you weigh that as you look at these deals?
Travis Stice: Gordon, again without giving a lot of commentary on what our exact acquisition bid strategy is, all of those things you just laid out are available to Diamondback as we try to do an accretive deal. I think it's deal specific and we will look at all of the combinations that you just laid out in order to create the greatest accretion to our shareholders.
Operator: The next question is from Michael Hall of Heikkinen Energy. Your line is open.
Michael Hall: I guess just one more on the M&A angle or ANDA angle. I'm just curious we often look at the public equities and try to back into an implied commodity price and see something today that is a decent premium to the current strip. I was wondering if we can take that analogy and you could help us try to apply that in the private market and you talk about the bid ask spread being wide. What sort of price levels are maybe being applied as you look at these deals, what sort of price levels are being implied by the sellers sufficient to win a bid at this point?
Travis Stice: I appreciate the interest behind that question. Again I'm not going to talk a lot about how Diamondback views these things but I tell you Michael in a general sense what I believe is that the sellers always hold on to the last trade that was publicly announced. So if you have not seen any transactions occur on the acreage size, it is probably because most of the sellers are hanging on to it the last amounts trade was and I believe you can do your own reconnaissance on that but somewhere north of $30,000 [indiscernible]. So I think we will have to wait and see Michael until you see some transactions come across the Board whether or not that gap is really closed.
Michael Hall: Also I'm just trying to think through capital efficiencies in the low case scenarios not only for yourselves but across the industry. I guess how do we think about things like pad development and what might be the most efficient way in a vacuum to develop things as opposed to the realities of try to hold leasehold and things along those lines. Would you say that the low case -- the low end of the range that you provided is exhibiting those fixed cost flowing through and provides a range of capital efficiency in terms of how we think about moving forward, things will really have to ratchet it higher from a capital efficiency standpoint.
Travis Stice: I'm going to answer the macro question and then specifically on the low-end I'm going to let Tracy answer on the low-end side of the capital efficiency. On a macro view the more rigs that you run typically the more efficient your operations are because you are keeping a rig there on location longer and getting a three well pad drilled and you’re bring in a completions and it is a more efficient process when you can kind of keep a rig in the general area and let the drilling and completion cadence follow in an efficient manner. When you actually go to a world where you’re only running one rig you’re by definition given up some of those efficiencies because where you might want to keep a rig on their for two months to get three wells drilled you might actually have to only drill one well there, you may only have the time to drill one well there and move the rig to another location so you sort of give up some efficiencies there. That’s in a macro sense, I'd rather be more efficient running more rigs but now I've got about some cash burn so specifically to your question on the low-end of our CapEx guide I think there's another element that Tracy is going to explain to you.
Teresa Dick: On the low-end there we do have probably some efficiency loss there, but to clarify what's going on, we have the guidance out there of 30 completions but when we are running that low we’re actually going to be drilling more wells than we complete so there's capital being burnt there and you are not really getting it in the well count when you are doing the division. As well as -- running lower amount of rigs we’re going to have some rig penalties in there and then lastly there is a little bit of there is some wells that you start in 2015 that you end up paying for in 2016. So again when you are dividing them just by 30 wells versus let's say the upper end of 70 it shows a lower capital efficiency in the amount that's how are low-end is working.
Michael Hall: Last one on my end is just around the Glasscock cut wells. Is completion designs on those wells vary between themselves then relative to how you complete wells further west or any changes around that?
Travis Stice: Yes, Michael on the first three well pad that we talked about that Mike talked about, first just again I'm going to reemphasize how pleased we’re with the early flow back data from those wells. I think they are at or above our expectations at each of the three intervals and we outlined that on the one slide that's in the deck. So what we did when we moved into that area we wanted to make sure that we try to get our best assessment relative to how we completed the wells in Midland County. So we actually followed the same recipe in Midland County on those Glasscock County wells and that gives us a better comparison. We didn’t talk about the two well pads [indiscernible] that we've only been flowing back for about a week now. We actually increased the same concentration the completion density on those two well pads so as we get the three well pad that's flowing back right now we get information out of that that's done with our traditional Midland County completion we will be able to compare it right next with a two well pad with the increased sand that we put there. So we think we are doing it kind of the smart way in terms of trying to assess the size of that when we kick in the full-scale development we will have the best recipe but I would tell you again just to reemphasize the Wolfcamp A, Wolfcamp B at or above expert [indiscernible] actually has been the most surprising zone in Glasscock County because it appears to be as good as the Wolfcamp B and A and certainly better than the wells the 15-mile radius around there. So really excited about the Lower Spraberry.
Michael Hall: And that lower Spraberry well has it peaked yet or is it exhibiting a similar profile to those in Midland County?
Travis Stice: Yes is probably -- we put that well on [indiscernible] 3.5 weeks ago so it is probably at its peak rate.
Operator: The next question is from [indiscernible] of Simmons and Company. Your line is open.
Unidentified Analyst: When we think about the 2150 to 23 and 75 million CapEx range come how should we think about the commodity prices assumptions that are embedded into that guidance? Is that $25 to $35 range?
Travis Stice: I think the 25 to $35 range, that's the one to two rigs and that's going to put you up to lower end of that CapEx range. If you are in the 35 to $45 WTI range that's two to three rigs and that's going to push you towards the upper end of that CapEx range. We type that -- the production range that we did so are intellectually honest between breaks, CapEx -- and reduction guidance.
Unidentified Analyst: When we look beyond 2016, do you see the Company eventually transitioning to two mount laterals -- lateral program. I know I know you guys are running 7500 on average but tobacco 210,000 beyond 2016?
Travis Stice: And a general sense, we try to drill as long as we can help is geometry allows us so we have -- on the Board this year. We believe the capital efficiency is much better and we've demonstrated -- we always want to try to drill longer. That was one of the reasons we were so excited about how -- over half of those wells as we develop they are going to be of the 10,000 foot variety. On a looking into 2017 to drill longer. I'm looking into next month to do this was longer but it is somewhat limited by -- geometry.
Unidentified Analyst: Just a last one for me in terms of service cost concessions from the service dies, do you still see some room there in 2016 or do you think we've got -- gotten all of it that we've gotten all we can get from those guys?
Travis Stice: And certainly are business harder's on service side there under quite a bit of a stress right now and I know that as long as they have vital equipment in their guard their pressure is to get prices set so that equipment can go to work so I think there may be a little bit of movement still, but I totally for planning purposes and that's the way we are looking at it as well for planning purposes, I think the numbers that we gave you are good for the year. But [indiscernible] it gets it will be downward pressure but we believe the cost kind of in right now.
Operator: The next question is from Jason Wangler of Wunderlich. Your line is open.
Jason Wangler: Just dovetailing on one you mentioned the plans you have either one rig program or three, adjust with a copy the third rig you are looking to ask month, with two rigs with 1 B basically Spanish Trail and the other voting or just how you see that in the number two scenario?
Travis Stice: I think we were try this but that out earlier as well but Jason with one rig that's going to be bouncing around the for the various lease obligations mostly and Howard County. If we are running two rigs one rig would be -- part one rig -- in Spanish Trail and then probably have 20 quarter of that trick will around even in Glasscock or Howard County. But you going to keep pretty much one rig and Howard County, most of the year and then any other rigs will be added to first Spanish Trail and then secondly to Glasscock County and Northeast Andrews County.
Jason Wangler: And on that as you look at that holding the leases and Howard, is that a couple of years you would have to do that? Would you be Ray Merilee done but in of this year or where you see that falling in the lower scenario?
Travis Stice: Yes, it is probably a fair statement for the next 12 to 24 months. Of course, we are doing things -- if we were in an -- oil price we have to look at these extensions and things like that that will allow us to avoid drilling right away but in a general sense at least for planning purposes probably this year and the next we will keep our rig up there and Howard County which if we hadn't been able to demonstrated to yet until we complete these wells but we think that will be good economic proposition as well. Then also really outstanding well test we had Glasscock County noise got the competitive returns down there as well to we've got some abilities to have big our capital more -- as we look at returns to our shareholders.
Operator: The next question is from Jeff Grampp of Northland Securities. Your line is open.
Jeff Grampp: I wanted to go back to the table you guys have regarding the economic locations of the various price tags and looking back to your past that's it looks like you about doubled your week even inventory in that were you should price tags so just wanted some color on that if that's exclusively related to the lower well cost assumptions that you guys have been able to Julie be or maybe there some increased confidence about well performance in some newer areas or some newer zones you guys are adding there?
Travis Stice: Certainly we are more confident everyday we get well test actually Glasscock County and soon-to-be Howard County but specifically Jeff though, -- well cost from six really dollars per well for 7500-foot lateral, the last time you visit our last quarterly call -- makes a big difference in the number of locations that are economic.
Jeff Grampp: And then, not looking at the backend of your deck year, the updated well performance from the Lower Spraberry [indiscernible]. Maybe if you can get a little bit more color about that -- that were you had some water watering out of issues a looks like, is that something that you guys had expected? Of these wells performing and mind just wondering how you guys are looking at these wells relative to the really staunch -- from some is going wider spaced wells?
Unidentified Company Representative: I know we have got a lot of different curves on that slide [Technical Difficulty] we show one of the curves for the 500 wells without the five well pad and you can see putting much mimics the result of the wider spacing -- specifically to the five well pad we were a little surprised -- Operator came in and drilled some wells -- that watered out the tab really watered out several of our wells on our five well pad. Two of those wells are lead times eventually affecting the end of the curve. One of those wells -- as well that we drilled lighter and it was partially watered out as well so it affects the early time so it really affects the whole curve. I think the thing that to look at is if you look at the very end of the curve and you see the slope you can see that those wells over the last 20 or 30 days had started to recover on are recently back to the rates that we projected. I know you just look at it overall and it looks a little concerning but when you actually step back and look at the individual wells and how they were covered I would say the results looked pretty encouraging at this point -- on the wells that we're drilling now we are continuing to use the 500-foot spacing in Spanish Trail.
Jeff Grampp: Then last one for me on the completion side see some other operators getting some encouraging results on some different completion optimization because -- about some increase -- in Glasscock just wondering how you guys are looking at progressing throughout the year different tester might have on the doc. or concepts you guys are looking at internally on the completion front?
Travis Stice: Jeff, we spend a lot of time the only analyzing -- results but also analyzing what said publicly from other operators and we try to incorporate this practices and learnings from other operators quickly into our business so I think you are seeing things like increased sand, increase cluster spacing, tighter distances, all of those things are reasonable to expect Diamondback to have some commentary on by the end of the year. Certainly now when cost are as low as they are on pressure pumping now is a good time to be experiment and with that. There's a few things though that we're pretty confident we won't be trying and that is that -- we have always been even since 2012 we've always been a slick water shop and we intend to continue there on slick water fracs.
Operator: The next question is from [indiscernible] of JMP Securities. Your line is open.
Unidentified Analyst: Just hoping back to the 2016 guidance range of 32,000 to 38,000 per day. Given it was a strong fourth quarter at about 37 and change. I know you don't give guidance on a quarterly basis but could you just directionally walk me through maybe in the low price scenario if you do end up going to one rig in a second quarter just how long it's progressed throughout the year?
Travis Stice: There is a reason we don't give quarterly guidance because there's so much fluctuation when you can bring on like we did a Glasscock County you bring a three well pad that's doing almost 4000 barrels a day that can materially impact one quarter. So it's really difficult for me to try to tell you exactly -- I cannot tell you exactly what quarter over quarter production is going to do. Generally, Bob, if you've got one to two rigs running you’re going to have flat to declining production. If you're running two or more rigs your production is [indiscernible] and that statement holds regardless of whether it is now or two years from now. That's how we view production changing.
Unidentified Analyst: And then switching over to Howard County looking forward to getting the results in the middle of the year. Could you just contrast what the Midland acreage in terms of which intervals are most perspective and maybe talk to [indiscernible] how the geology changes as you head east of Howard?
Unidentified Company Representative: Bob, based on other operators results in the area that looks like the Wolfcamp A is probably going to be the best zone in Howard County but we think the lowest Spraberry is probably a close second. There hasn’t been a lot of Wolfcamp B results but generally the B thickens as you move to the West more basin work, so we think on our particular acreage in Howard and as it moves a little bit over into Martin County we think our B results there probably going to be better than what you see out of the industry because most of their wells are closer to the shelf or the B--
Operator: The next question is from Ben Wyatt of Stephens. Your line is open.
Ben Wyatt: But has there been deep enough cut on the services side to where you are starting to see some degradation with crews and just would love you guys thought if that's going to be challenge when prices rebound and maybe if you even if you guys have a price of where maybe that does become a concern, any service companies do start get maybe some pricing power. Would just love your thoughts on that.
Travis Stice: Yes, Ben, our business partners on the service side as I pointed out earlier, they are under quite a bit of distress right now and they are very smart individuals and running their business and they know the importance of keeping good crews and good equipment. Regardless of our pace of activity we expect end demand good service for a fair price and the service companies our business partners respond accordingly. Now when recovery occurs inactivity starts to ramp up there probably will be some things exposed that you cannot see right under a much slower development activity, but we think that since Diamondback should be one of the first companies to go back to work under a recovery oil price that we will be able to attract the best crews and the best equipment as we start ramping up activities. Could it be a problem in the future? Yes, but right now there sure a lot of surplus equipment around both on the pressure pumping and on the drilling rig site.
Operator: The next question is from [indiscernible] of BMO Capital Your line is open.
Unidentified Analyst: Can you speak further to how quickly a DUC can be converted to a well that's producing and online questions just asking to get a better sense of how quickly you can capture a steeper [indiscernible] on the oil curve if that were to materialize.
Travis Stice: Dan, the first thing is you placed your call into the pressure pumping provider and you find out what their availability is and what their cost is and right now cost are low and availability is high. In theory you can go to work on the DUCs right away. Now there are some things we have to do on the front end of that like a accumulation, stimulation fluid, making sure the location is prep for the completion but those are things that we do on the day in and day out basis so really when it is time to match on the accelerator you know as I pointed out earlier we will start on the DUCs and with a fully dedicated crew we can get about -- you can get four to five wells a month per dedicated group. So you can start to eat into a quarter you can start eat into your drill on uncompleted backlog pretty quick.
Unidentified Analyst: And then lastly how much further east off your Glasscock County lease line would you go to acquire more acreage assuming such acreage is available?
Travis Stice: We like where our acreage is right now, I don’t think moving east from our position.
Operator: [Operator Instructions]. The next question is from Sam Burwell of Canaccord Genuity. Your line is open.
Sam Burwell: I was wondering if you can quantify a little bit the share of completions this year that would be 10,000 for laterals and if that share or that percentage would change meaningfully depending on the activity scenarios you guys end up with?
Travis Stice: That’s probably about 40% or 50% would be 10,000-foot laterals and three time I think the percentage is probably going to increase as we try the acreage, more for a acreage you will see those lateral lengths continue to increase over time.
Sam Burwell: And just seek one more in, hedging. You guys are still unhedged, I was wondering what would the curve have to look like especially in say 2017 for you guys to consider laying around some hedges?
Travis Stice: We would like to have a large hedge book right now that looks like cash on the balance sheet which by the way is how we view hedges. Probably so but that being said we also now we believe are going to be able to participate in the most fullest way in an oil price recovery. So I don’t want to give a specific number but the [indiscernible] nature of the curve right now would probably lead us maybe to start thinking about hedges somewhere north of where it is right now. I think I saw a quote this morning that next year's hedges are right around $40 a barrel so we probably need something little north of that. But it depends Sam, it depends on what we think the future of the oil price is going to do and what our activity levels are going to look like and it's not just a binary decision that we struggle with daily on how to put hedges on there but that being said though we've got as we pointed out cash on the balance sheet from our equity raise that’s sort of in a way looks like a hedges well so I think we are in pretty good shape.
Operator: [Operator Instructions]. The next question is from David Meats of Morningstar. Your line is open.
David Meats: Most of my questions have been answered but one last one on the table on slide 6 which is looking in the $65 to $75 scenario you’ve got 2600 locations that’s 200 more than in the 55 to 65 scenario. I'm just wondering if there's any way, any scenario or possibility to upgrade those 200 locations and make them work at the $55 to $65 level? Is there something you guys can do or some circumstances that would make that happen?
Travis Stice: Yes, I think those wells are generally short lateral wells that takes a higher price to make economic and as I indicated before oil companies are working on data traits to core of their acreage just to drill longer laterals so that's really what it is probably going to take to make those wells economic and I think the chance of doing that is pretty high.
Operator: At this time I would like to turn the call back over to Travis Stice for closing remarks.
Travis Stice: Thanks again to everyone participating in today's call. If you have any questions, please reach out to us using the contact information provided. Thanks again.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.